Operator: Good afternoon and welcome to the Digital Realty Fourth Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note that today's event is being recorded. At this time I would like to turn the conference over to John Stewart, Senior Vice President of Investor Relations. Please go ahead, sir.
John J. Stewart - Digital Realty Trust, Inc.: Thank you, Denise. The speakers on today's call will be CEO, Bill Stein; and CFO, Andy Power; Chief Investment Officer, Scott Peterson and Chief Operating Officer, Jarrett Appleby; and SVP of Sales and Marketing, Dan Papes are also on the call and will be available for Q&A. Management may make forward-looking statements related to future results, including guidance and the underlying assumptions. Forward-looking statements are based on current expectations, that involve risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, see our 2015 10-K and subsequent filings with the SEC. This call will contain non-GAAP financial information. Reconciliations to net income are included in the supplemental package furnished to the SEC and available on our website. And now, I'd like to turn the call over to Bill Stein.
William Stein - Digital Realty Trust, Inc.: Thanks, John. Good afternoon and thank you all for joining us. 2016 was a very good year for Digital Realty. We delivered solid execution against each of the objectives of our strategic plan outlined here on page 2 of our earnings deck. We remain focused on realizing the highest possible risk adjusted returns. We achieved a 30 basis point improvement in our return on invested capital in 2016, bringing the cumulative three year gain to 180 basis points. Given the size of our asset base, we believe this represents a meaningful movement of the needle since 2013. We made substantial headway towards the successful integration of Telx. We also closed on another strategic acquisition, a portfolio of eight high-quality carrier-neutral data centers in Europe. This acquisition was accretive, prudently financed and coincided with our inclusion in the S&P 500 Index. We also advanced our goal of diversifying our product offerings, with the launch of our Service Exchange in November, the continued growth of our Partners and Alliances Program and the expansion of our colocation footprint beyond the original 20 Telx locations. We also made solid progress towards our goal of achieving operating efficiencies to accelerate growth in cash flow and value per share. We hit our target for 200 basis points of EBITDA margin expansion two years ahead of plan. We also beat the high-end of our original guidance range, delivering 9% growth in core FFO per share and 22% growth in AFFO per share. Both metrics are on an as reported basis. On a constant currency basis, FFO per share growth would be in double-digits and AFFO per share growth would be north of 23%. Just, as importantly, we were able to achieve this growth without levering up. In fact, we actually reduced leverage by almost half-a-turn in 2016. We initially unveiled these three year guidepost at our Investor Day in October 2015. Please mark your calendars for the 2017 edition in New York on December 5. By way of preview, our priorities going forward will be geared towards further developing our considerable base of talent to come together as one fully integrated team centered around our customers. Let's take a closer look at the expansion of our product offerings on page three. As you know, we launched our Service Exchange last November. Service Exchange is an interconnection platform that facilitates direct, private and secured connections to multiple cloud service providers including Amazon Web Services, Google Cloud Platform, and Microsoft Azure, as well as telecommunications providers and other Digital Realty customers worldwide. Service Exchange provides more value to our customers by simplifying interconnection and making access between interconnected services, providers and businesses more flexible, more scalable and easier to use than ever before when we went live in 43 facilities across eight markets in November and we are on track to rollout another 17 sites across another nine markets in 2017. In addition, we will be again offering Layer 3 capabilities during the second quarter. Layer 3 capabilities are a requirement to enable enterprise customers to reliably consume SaaS or Software-as-a-Service offerings from a private cloud environment. This means that our customers will be able to realize the benefits of a full suite of public cloud services, including infrastructure, platform and Software-as-a-Service, without incurring exposure of a traditional public Internet connection. In a nutshell, this offering will allow our customers to realize the benefit of the public cloud without the complexity or security issues associated with hybrid cloud architectures. In addition to the launch of Service Exchange, we saw an acceleration of our activity in our Partners and Alliances Program during the fourth quarter with a pickup in bookings on our Direct Link Colocation offering with IBM Bluemix as well as a significant back-to-back transaction with a leading IT services provider supporting a publicly-traded healthcare service provider. I'm pleased to report that our level of activity continues to grow, particularly where we are able to combine our capabilities with those of our partners like the Direct Link Colocation offering with IBM. These programs highlight our unique competitive differentiation with our ability to offer customers a full spectrum of data center solutions from a single cabinet all the way up to multi-megawatt deployments. We are pleased with the early progress of our Partners and Alliances Program and we are looking forward to taking it to the next level in 2017 under Dan Papes' leadership. You may recall that Dan joined us this past year in November as Senior Vice President of Global Sales and Marketing. Dan is a technology industry veteran with a 27 year career with our largest customer, primarily in the outsourcing and managed services business. In addition to Dan's experience leading large global direct sales teams, he has significant channels and alliances experience, having led the global cloud and data center business at a $6 billion global IT distributor. As I said, we are excited about the prospects for meaningful growth in our channel program under his leadership. Let's turn now to market fundamentals on page four. Just last week, Cisco reported that global mobile data traffic grew an estimated 63% in 2016. Looking ahead, Gartner projects that the shift to the cloud will either directly or indirectly impact $1 trillion of IT spending by the year 2020. JLL reports that several major cloud providers anticipate that they will need to triple their existing infrastructure by 2020 to meet that demand. We are as confident as we've ever been in the long-term demand profile. While cloud leasing activity may have been somewhat front-end loaded in 2016, the long-term trend is clearly marching up and to the right. The outsized leasing volume in the first half of last year grow record absorption for the data center sector in 2016. Current market vacancy rates are in this mid-single digits in most core markets and demand continues to outpace supply. Deal sizes are getting bigger and lumpier, and they no longer have the same cadence. And the biggest and lumpiest deals do not necessarily translate to the most value creation. For our part, we're taking a much more selective approach to landing the right mix of customers to maximize the long-term value of our global Connected Campus footprint. Our competitors are largely behaving rationally. But we have seen an uptick in fresh capital targeting the sector. To-date, recent investments have mostly been focused on stabilized assets, perhaps reflecting a tacit acknowledgment that barriers to entry maybe higher that meets the eye. The floodgates have opened for data center packages coming to market, but the supply of products on the market has not depressed pricing. In fact, values have firmed considerably. Cap rates are in the sixes, and EBITDA multiples are in the mid-teens. This can be somewhat of a double-edged sword. On the one hand, it has very positive implications for the value of our existing portfolio, and it makes our recent acquisitions look particularly compelling. On the other hand, it also makes it harder for us to achieve external growth through acquisitions, and it potentially introduces new competitors. In summary, development pipelines are active, but pre-leasing is healthy, market vacancy is tight, current construction is concentrated in core markets characterized by robust leasing velocity, and the scars of the lifecycle are still fresh. Now, let's turn to the macro environment on page five. The economic outlook has improved over the last 90 days, although the timing and ultimate outcome of future policy remains uncertain. Despite the improved outlook, it's still a low growth world, and competition is fierce for the pockets of growth, excuse me, that do exist. We believe we have a set of key competitive advantages, namely, our Global Platform, our brand, our operational track record, and our fortress balance sheet that give us a significant leg up on would be competitors. That certainly doesn't mean that we can rest on our laurels. We must continue to innovate, continuously improve and provide even greater value to our customers. As you've heard me say many times before, the drivers underpinning data center demand are secular in nature and growing faster than the broader economy. We consider ourselves very fortunate to be beneficiaries of highly disruptive technological trends like the shift to the cloud, e-commerce and driverless cars. Over time, we expect property types that are levered to the digital economy will become increasingly core holdings. Not only do we have the good fortune to be operating in a growth industry, but we believe that we have the best platform. We are well-positioned to come together as one team oriented around our customers and capitalize on unique opportunity in front of us. With that, I'd like to turn the call over the Andy Power to take you through our financial results.
Andrew Power - Digital Realty Trust, Inc.: Thank you, Bill. Let's begin with our leasing activity here on page 7. Our total bookings for the fourth quarter were approximately $33 million of annualized GAAP revenue, including a $7.5 million contribution from interconnection. We signed new leases for space and power totaling $25 million of annualized GAAP rent during the fourth quarter, including a $7 million colocation contribution. Our fourth quarter signings speak to our ability to leverage our competitive advantages to win a robust, get profitable demand from a diverse global customer set. Fourth quarter wins included multiple top cloud service providers signing across multiple continents. They also included strong customer demand from several of our other key verticals, including cable and network, a rapidly growing ridesharing company, connected caller applications, IT service providers and a few diverse customers within our financial services vertical. We added a total of 50 new logos during the fourth quarter. The lion's share of these new logos were landed by our colocation and interconnection business which has consistently contributed more than $13 million of bookings every quarter since our acquisition of Telx in late 2015. This consistent performance helps smooth out some of the lumpiness inherent in our traditional large footprint leasing particularly in the hyperscale age. The complementary nature of the colocation and interconnection business with our existing platform was a key part of the strategic rationale for the Telx transaction. That rationale has been proven out over the first year of our stewardship as shown on the M&A scorecard here on page 8. The Telx business generated $99 million of revenue during the fourth quarter, although revenues remain split 50-50 roughly, interconnection continues to outpace colocation with year-over-year revenue growth in excess of 10%. We expect interconnection revenue will grow faster in 2017 than 2016. From the legacy 20 locations and prior to expense synergies, Telx generated $42 million of cash EBITDA during the fourth quarter. We made substantial headways towards realizing the embedded growth potential within the Telx portfolio as evidenced by the 480 basis point pickup in same-store utilization. This successful lease-up enabled us to achieve 99% of our full year 2016 revenue target. Executing on our revenue plan combined with our performance and operational and corporate cost containment enabled us to significantly exceed our full year 2016 cash EBITDA target of $148 million prior to synergies in addition to our $15 million expense synergy target. We also laid the ground work for realization of revenue synergies in 2017 and beyond as we began the process of expanding our colocation and the interconnection footprint across eight markets in North America, representing nearly 7 megawatts of incremental capacity. In summary, we are pleased with the performance of the colocation and interconnection product line and we look forward to continue progress as we refine our go-to-market strategy, expand capacity and extend our colocation reach in North America and across our global Connected Campus network. In terms of the portfolio of eight European data centers we acquired last year, we are likewise well underway towards a smooth integration. We're able to consolidate all the corporate employees from the acquired business into our existing office. And Rob Coupland, who's appointment as Managing Director for the region was announced last September, is now managing one team out of our combined European headquarters on Gracechurch Street in London. We are stabilized and on track with our initial underwriting assumptions. By the end of 2017, we expect to have fully integrated the eight new properties into our portfolio. Turning to our backlog on page 9. The current backlog of leases signed but not yet commenced stands at $78 million. The weighted average lag between fourth quarter signings and commencements reminded healthy at just three months, well below the historical average of approximately six months. Moving on to renewal leasing activity on page 10. We retained 75% of fourth quarter lease expirations, roughly in line with our historical average, and we signed $47 million of renewals in addition to new leases signed. Cash re-leasing spreads were positive 3.5% for the fourth quarter and positive 2.6% for full year 2016. During the quarter cash re-leasing spreads were positive across all property types, including a solid double-digit cash mark-to-market on PBB renewals. We do still have pockets of above market rents remaining throughout the portfolio, primarily in the Northeast region. So, we may see a modest negative cash mark-to-market in any given quarter. On balance, however, cash re-leasing spreads were positive for the fourth quarter and for the full year of 2016, and we expect cash re-leasing spreads will likewise be positive for the full year in 2017. We continue to see gradual improvement in the mark-to-market across our portfolio, driven by modest market rent growth and steady progress on cycling through peak vintage lease expirations. In terms of our fourth quarter operating performance, overall portfolio occupancy is up 50 basis points sequentially to 89.4%, primarily due to taking assignment of a colocation reseller customers PBB lease at 350 East Cermak in Chicago, which we discussed on our third quarter call. We are actively negotiating the lease for roughly 25% of the former customer's capacity that will bring us back to breakeven, and we expect to create additional value for our shareholders from lease-up of the rest of this capacity over the next several quarters. You may recall, as part of this transaction, we took ownership of the former customer's data center improvement and infrastructure with an original cost basis of approximately $85 million, and a current fair market value of approximately $30 million. This transaction explains the bulk of the $33 million of other revenue on the face of our P&L this quarter. The gain on this lease termination is included in NAREIT defined FFO, but is excluded from core FFO. The U.S. dollar continued to strengthen during the fourth quarter, and FX represented a 150 to 250 basis point drag on the year-over-year growth in our reported results from the top to the bottom line as shown on page 11. I would like to remind everyone that we manage currency risk by issuing locally denominated debt to act as a natural hedge, so only our net assets within a given region are exposed to currency risk from an economic perspective. Although our global footprint does expose our reported earnings to currency translation movements, it enables us to satisfy the growing data center requirements of strategic customers around the world, which we view as a key competitive advantage. Same capital cash NOI growth was flat for the fourth quarter and up 1.4% on a constant currency basis. For the full year, same capital cash NOI growth was a positive 2.7% on a reported basis, and up 3.6% on a constant currency basis. For 2017, same capital cash NOI growth is expected to be similar to full year 2016, both as reported and on a constant currency basis. As you may have seen from the press release, we reported core FFO per share of $5.72 for the full-year, an increase of nearly 9% on a reported basis, and up a little over 10% on a constant currency basis. Growth in AFFO per share was better than 20% for the full year, driven by greater cash flow contribution from our core business, accretion from the Telx acquisition, continued burn-off of straight line rent and lower than expected recurring CapEx spend. Our current AFFO payout ratio is sub-70%, and while we continue to view retained earnings as our cheapest source of equity capital, the current payout ratio provides flexibility and room for further dividend growth. As usual, we expect our board of directors will revisit the dividend policy at the February Board Meeting later this month. In 2017, we expect AFFO per share growth to much more closely match FFO per share growth. None of these assumptions underline our 2017 guidance have changed since we provided our initial outlook just over a month ago. And we are reiterating guidance for 2017. Let's turn to the balance sheet, beginning with our sources and uses here on page 12. During the fourth quarter, we prepaid $108 million of mortgage debt at a weighted average coupon of a little over 6%. We now have just $3 million of secured debt remaining or well under 1% of total debt outstanding. Subsequent to year-end, we retired the final $50 million tranche of the 5.73% Prudential Unsecured Senior Notes at maturity in January. Our 6.625% Series F of Preferred Stock is callable in April and we expect to fund the $182.5 million redemption by settling the remaining 2.4 million shares, subject to the forward sale agreements we entered into last May. Aside from the remainder of the forward equity offering and barring any unforeseen acquisition activity, our plan does not contemplate any additional common equity issuance in 2017. Even so, we expect net debt to adjusted EBITDA will remain below five times throughout the entire year. We also expect to capitalize on the current strength of the data center investment sales market by continuing to prune our portfolio and selling up to another $200 million of assets this year. In addition, we expect to generate approximately $400 million of cash flow from operations after dividends. Finally, we expect to raise another $500 million of long-term fixed rate financing later this year. As you can see from the bubbles in the map on page 13, we have the most foreign currency exposure to the British pound. Given our recently expanded presence in Europe, we will look to further our FX hedging strategy by issuing sterling denominated debt later this year. In addition to managing foreign currency exposure, we've also mitigated interest rate risk by proactively terming out short-term variable rate debt with longer-term fixed rate financing. Over the course of the year, we brought our floating rate debt exposure down by more than a half to a little less than 10% of total debt outstanding at year-end, as shown in the pie charts on the right side of page 14. On the left side of the page 14, it appears that we have – it is apparent that we've also cleared the runway with nominal debt maturities before 2020 and no bar too tall thereafter. Finally, we reduced leverage from 5.2 times at the end of 2015 to 4.8 times at the end of 2016. Our balance sheet is primed for growth consistent with our long-term financing strategy. This concludes our prepared remarks. And now we will be pleased to take your questions. Denise, would you please begin the Q&A session?
Operator: Certainly, Mr. Power. We will now begin the question-and-answer session. The first question will come from Jonathan Atkin of RBC Capital Markets. Please go ahead.
Jonathan Atkin - RBC Capital Markets LLC: Thanks. So, my first question is on M&A and if you could comment on the remaining milestones as you integrate the new European assets and as well the kind of the many potential that you see in enhancing interconnection revenues there? And then if you could also maybe talk about your views on further inorganic growth in Europe or elsewhere? There has obviously been a lot of recent M&A transactions where you did not participate. And then I've got a follow-up. Thank you.
Scott Peterson - Digital Realty Trust, Inc.: Yeah, Jonathan. Hi, Scott here. I think Andy touched on a couple of those items here, but I'll just go over them again. We're off to a great start with the EMEA portfolio that we acquired. We're on track with our underwriting there. The overall EMEA team has been fully integrated under the Digital Realty umbrella and that was finalized in the fourth quarter, so that's going well. In 2017, we will focus on integration of systems and processes. Over there, we are migrating the Amsterdam one connectivity ecosystems over to Science Park tower. And we have our colo expansion plans into new locations in the European market, are underway. We're seeing good customer activity and we're cross-selling products and I think all that bodes well for revenue synergies. On the cross-connect, so I think it's reasonable to view the growth there is going to be a little more modest than it would be by U.S. standards. The European market is structurally different as it relate to that. So, I think that you temper the expectations there. I think it's more common to see kind of 5% to 10% of revenues coming out of cross-connects in these European assets. On further inorganic M&A, as we always say, we look at everything. We're looking for opportunities that are strategic and complementary, that we can prudently finance and represent a good investment value for our shareholders. And by that we mean accretive. I think as a general statement that I can say that we are not looking to acquire assets just to get bigger. And many of the opportunities that were out there presented – really had neither a strategic value nor represented good value until it's easy for us to be interested observers on those. But I think we're going to remain disciplined in our approach to this. And we're not going to jump on any opportunities that will really only serve to make us bigger and not better.
Jonathan Atkin - RBC Capital Markets LLC: Great. And then, maybe switching gears for Dan Papes. I wondered if you could maybe summarize how you see your priorities over the coming quarters now that you've been onboard for a few months. Thanks.
Daniel W. Papes - Digital Realty Trust, Inc.: Thank you, Jon. Jon, it's been a very busy three months for me since joining Digital Realty. And we've gotten a lot done and it will inform my priorities just to tell you the things that we've been focusing on in those three months. Very pleased to see the level of talent that we have across the organization. I've also brought some new people in as well and have a few more coming. So we'll strengthen our team even more. We've also taken that talent from three entities, really, and turned it into one. We had Telx skills and Digital skills and Telecity skills and we've taken the best of all of them and turned that into one global sales organization. So, in the coming quarters we'll leverage that to generate some meaningful growth for the business. We really are now one global team and we're taking our portfolio to market that way. We actually just had a successful kickoff last week of the integrated team. And I'm very pleased with how quickly our team has jelled. We also have reorganized our go-to-market organization around our customers and our markets. And are now going to market in the form of verticals that specialize in the unique ways that each of those vertical customers buy. We're providing solutions to them. We're not going to market by geography or by products. We're trying to help our customers meet new opportunities and solve challenges that they have in their businesses. Another major priority for me, Bill mentioned it several times in his opening statements, is Partnerships (sic) [Partners] and Alliances. We believe that there is meaningful upside for us in that business. And so we're going to put a special emphasis on that, and invest significantly from a go-to-market perspective in that space. It allows us to reach many new customers that we might not otherwise have been able to reach and it allows us to do that at a much lower cost of sales. And so, we see the opportunity to generate benefits for ourselves, for our partner – those who partner with us, as well as our customers in the end. So, all of this, we believe – as we focus on it in the coming quarters, will be good for our business and it will position us to capitalize on our comprehensive platform to generate future growth.
Operator: And the next question will come Jordan Sadler of KeyBanc Capital Markets. Please go ahead.
Jordan Sadler - KeyBanc Capital Markets, Inc.: Thank you. I wanted to follow-up Dan, if I could on the Partnerships (sic) [Partners] and Alliances emphasis that you're going to have. And just to ask you if there is some kind of metric by which we can sort of track you or benchmark you, where we could start to understand the opportunity in the Partnerships (sic) [Partners] and Alliances area?
Daniel W. Papes - Digital Realty Trust, Inc.: Yes. So, what I can – as we develop the program, we can probably give you more specific metrics. We are just launching the new emphasized approach to it. We've already seen good results, as you saw from the Direct Link Colo, as we talked about the deal with IBM on Direct Link Colo, which actually generated about $3 million in TCV last year, but giving you a comprehensive set of financial targets and number of partners around that will be something I think we'll be able to give you in the coming quarter.
Jordan Sadler - KeyBanc Capital Markets, Inc.: I think...
Andrew Power - Digital Realty Trust, Inc.: And, Jordan, just to add on there, just chime-in for one second.
Jordan Sadler - KeyBanc Capital Markets, Inc.: Yeah.
Andrew Power - Digital Realty Trust, Inc.: And, I think we had – to be fair, we've had some successful partners in the last quarter, new partner that landed a fairly sizable deal with us in North America, supporting a publicly-listed healthcare company. I think one of the financial elements I think you'll see, and be it – Dan's been here for three months, so don't count on it tomorrow. But an acceleration of sales and revenue on the back – without a commensurate acceleration of sales head count is a way to financially see our results for the partners and channels kind of bearing fruit.
Jordan Sadler - KeyBanc Capital Markets, Inc.: Okay. That's fair. Thanks, Andy. The other question I had was, I guess, Andy, you talked about IX growing at a faster rate in 2017, I thought maybe you could expand on that?
Andrew Power - Digital Realty Trust, Inc.: So we – on a year-over-year basis, we've – our interconnection revenue, it's grown more than double – just more than double-digit, just because we've added some incremental capacity. But on just a pure same-store basis it's kind of low-teens, outpacing the pure colocation growth. And, well, I would say kind of part and parcel with our expanding the footprint and the opportunities for additional colocation, interconnection opportunities. We expect a modest pickup in that growth, in the revenue on a year-over-year basis.
Operator: The next question will come from Michael Rollins of Citi. Please go ahead.
Michael I. Rollins - Citigroup Global Markets, Inc.: Hi. Thanks for taking the questions. Two, if I could. You mentioned in your comments about the balance sheet and the leverage coming down to 4.8 times. As you look into the possibility of rates being where they are or higher, how does that affect the target leverage that you want to achieve over the next few years and how you're looking at the balance sheet funding development? And then just secondly on the point of development, I think your guidance flagged about $800 million to a $1 billion of development for 2017. The construction in progress that's left to go later on in the disclosures is, I think a little over $600 million. And I'm curious if you could talk a bit more about bridging those two and the types of opportunities that you might be looking at? Thanks.
Andrew Power - Digital Realty Trust, Inc.: Sure. Mike, I'll take – try to take both of those. So, on the balance sheet standpoint, we have a financial strategy of kind of having a balance sheet that's positioned for growth; and we kind of first and foremost target a leverage metric around 5-ish times debt to EBITDA. Now it's gotten – in the past it's been a little bit higher than that, probably up to 5.5 times. Today, we stand kind of a little below that, roughly 4.8 times. We philosophically think for our business mix and being an active developer, that's the right way to run the capitalization of the company. We are also hopeful though of obviously a rising rate environment finally coming to bear. And the way we try to think about protecting against that is one, minimizing our floating rate debt as much as possible. So today we stand, I believe 10% of our debt is floating rate, which is primarily borrowings outstanding under our revolver and that's been literally cut in half over the last year. And two, mitigating our maturity risk, so kind of matching the duration of our cash flows and our assets with long-term fixed rate debt financing. So if you look at our debt maturity schedule, you won't see much of any debt covenant due before 2020. And then thereafter we try to stagger the bars, so that we're not kind of putting any risk on the balance sheet. And those things hold for me as the CFO in a rising rate environment or quite frankly in many different rate environments. Going to your second question, the CapEx spend, the CapEx implied by the guidance at the end of the year relative to where we came out. Quite honestly, probably we're trending sub to the midpoint of that guidance going into the end of the year. It's really a product of timing. We – some projects slipped over into 2017, let's call it maybe a $100 million of that spend is kind of a calendar year slip. We are still seeing that even with that we did have a marked increase in CapEx year-over-year spent from 2015 to 2016 and our 2016 to 2017 midpoint does imply another increase. I think that's a product of two things. We've had a fair bit of success on the scale side of the business, building our campuses, expanding our customer footprint and helping them grow to the various buildings we have on other campuses. And 2017 and onto 2018 is going to have two new more demonstrative markets that they really had no contribution in prior years with Frankfurt, Germany in Europe and Osaka, Japan in Asia.
Operator: And the next question will come from Lukas Hartwich of Green Street Advisors. Please go ahead.
Lukas Hartwich - Green Street Advisors, LLC: Thanks. Hi, guys. I was hoping we could touch on Brexit and just I'm wondering if you're seeing any clarity in terms of how tenants are starting to think about managing that.
William Stein - Digital Realty Trust, Inc.: Hi Lukas, it's Bill. We – post Brexit, we actually signed a fair number of deals in London, while before Brexit we hadn't done much business at all. So I think, from that standpoint, Brexit perhaps has been good for the London market. But having said that we are building in Frankfurt and Amsterdam, and we're definitely seeing demand in both of those markets as well.
Lukas Hartwich - Green Street Advisors, LLC: Great. And then, also could we just touch on real quickly the integration costs, is that all of the European portfolio, is some of that Telx and then just how are those integration costs tracking relative to your initial expectations?
Andrew Power - Digital Realty Trust, Inc.: Sure. This quarter the integration costs are more heavily weighted towards the European portfolio. Quite frankly, a large chunk of it is – we hired a consultant firm to kind of help us through the integration process. So we have outside third-party advisors, with that domain expertise across all the multiple functions that touch the combined company. So a large of that is paying consultants to kind of help us facilitate that integration. There maybe a little bit on the Telx side on that, but I would say that's not a larger or a material amount to spend. And in terms of tracking, we've always set budgets at the time of the acquisition and then refresh moving into our 2017 spend. I'd say we're tracking slightly below budget, but overall these are not massive dollar spends in any regards in terms of integration. I think especially as it relates to the European portfolio, where it was really an absorption of their team without tremendous overlap given their colocation interconnection expertise and our scale expertise. So, it's not a huge dollar integration bucket to begin with.
Operator: The next question will be from Colby Synesael of Cowen and Company. Please go ahead.
Colby Synesael - Cowen and Company: Great. Two questions, if I may. When I look at your bookings in 2015 versus 2016, excluding interconnect, they're roughly flat at about $127 million. And as the company has gotten bigger, when you look at what you're targeting in terms of growth expectations, what is the new reset on where bookings should be? I appreciate that there is a $33 million this quarter and I appreciate that they will be lumpy, but when we look in 2017, can you give us any color in terms of what you consider to be – what you consider to be hitting your bookings target? Also as it relates to the dividend, I appreciate that the board is going to be meeting later this month to go over that. But can you talk about the AFFO payout ratio in terms of where you'd be comfortable with that and ultimately where you can potentially go? It seems like there's potentially an opportunity here to increase the dividend at a greater rate in 2017 than we saw last year. Thanks.
Andrew Power - Digital Realty Trust, Inc.: Sure. Maybe I'll touch on the dividend first. So on the dividend, obviously, as you know, it is ultimately in the board's hands and management will make a recommendation to the board to accept or approve. But as you've seen from the growth in our cash flow and our AFFO, and where our payoff stands today, I think there is a fairly decent chance that the dividend increase will accelerate or be greater than the prior year's dividend increase. While – with the one caveat being this, Colby, that while we're not the developer, I do view retaining capital as an attractive source versus going out to the market. So every dollar I can retain and redeploy into our active development pipeline that we develop to 10 to 12 returns is an accretive use of that capital. So I don't think you'll see our payout ratio move wildly. At the same time, I do think the dividend is going to increase a little bit more this year than last year. When I talk about signings, I mean, we have internal numbers where we have really market-by-market based on what we see the pipeline demand, and how that lines up with our available supply and our timing of bringing new supply coming onboard. We obviously did not give you that – a line item for that in our table, in our guidance, although we do give a fairly robust disclosure. It's something that's a little bit subjective, because as you move through the year, different markets heat up and different markets cool down, and different lines of our business be it scale or colo kind of move in the same degree. So, we're interested in focusing on winning demand at attractive rates to generate profitable returns on our capital. My goal was more and more every quarter, the best I – the most I can. I don't think we have like a specific internal goal we want to share, as in terms of a leasing volume number here on this call.
Colby Synesael - Cowen and Company: I'm trying to – I guess what I'm trying to do is, you guys I think are targeting mid-to-high-single digits FFO per share growth each year. And at this juncture, with the company the size that it is now, I guess I am trying to just triangulate back to – what we need to see from a bookings perspective over – again, not on a quarter-to-quarter basis, I appreciate that lumpiness, but on an aggregate year basis, what that might be, but I guess that's something we'll have to try and look at it a little bit more.
Andrew Power - Digital Realty Trust, Inc.: Listen, Colby, what I would say is, listen, we've just finished the fourth quarter. Some of the fourth quarter signs obviously have implications on the rest of how 2017 goes. We're halfway through the first quarter. And right here on this call we're reiterating our guidance that we gave you on January 3. So based on everything we've signed in 4Q, based on everything we know we signed so far in 1Q, we think we're on a signings momentum or velocity that's going to generate that FFO growth you just mentioned.
Operator: The next question will come from Richard Choe of J.P. Morgan. Please go ahead.
Richard Y. Choe - ‎J.P. Morgan: Great. Thank you. Following up on that a little bit. In terms of colocation and interconnection it seems like signings have been very steady and that has pretty good visibility. The Turn-Key Flex seems to be a lot more volatile. Can you give us an idea of what you're seeing in the pipeline, kind of, longer-term that maybe makes you feel better about potential signings in the future in that section?
William Stein - Digital Realty Trust, Inc.: Yeah. Hey, Richard. I'd say the pipeline looks pretty good. To give you a data point, our investment committee used to meet every other week. Now we meet every week. Same amount of time in those meetings and that's really to discuss the deals that are in front of us. So, it's a good pipeline. There is no question about that. Dan, I don't know if you have anything you'd like to add?
Daniel W. Papes - Digital Realty Trust, Inc.: No. I would just reiterate. It's a good pipeline and we're awfully busy getting those proposals out the door.
William Stein - Digital Realty Trust, Inc.: But I will say too, Richard, that there is no question that on average the scale deals are higher. There was a...
Richard Y. Choe - ‎J.P. Morgan: And then you said that they're getting more complicated and lumpy, but that doesn't mean that they are dying down at all. It's just taking longer to kind of get through these deals.
William Stein - Digital Realty Trust, Inc.: No, no, but they're bigger. On average they're bigger.
Richard Y. Choe - ‎J.P. Morgan: Great. Thank you.
Operator: And the next question will come from Vincent Chao of Deutsche Bank. Please go ahead.
Vincent Chao - Deutsche Bank: Hey. Good afternoon, everyone. Just wanted to touch base on the Dallas market. There's been a lot of press about that market being particularly strong or expected to be particularly strong this year. Just curious if you could share your thoughts on that market from what you're seeing both on demand and the supply side.
Andrew Power - Digital Realty Trust, Inc.: Hey, Vin. This is Andy. I'm pretty sure you're referring to an article that described Dallas as 2016 Chicago. I would say a little bit different dynamic there. It feels like there's more competitors. There's more competitors with supply. At the same time, we've had some pretty good traction recently in terms of signings in that market and pipeline of additional deals in that market. But I have not seen anything that necessarily unlock the flood gate in Dallas. And you can just pull up public disclosure you'll notice that it does have a fairly wide competitive set that we're competing within that market.
Vincent Chao - Deutsche Bank: Got it. Okay. And next question is really going back to the same capital side of things. I mean that there has been some slowing trends there for the last few quarters, I think ended up at the low-end of the guidance range for 2016. But just curious if you could just comment on what is sort of driving that deceleration outside of FX, obviously. And then, maybe talk about the changes in the same-store pool now with Telx being in there. How that changes the comparisons year-over-year?
Andrew Power - Digital Realty Trust, Inc.: Sure. So I think that the thing you didn't mention, which is a little bit of anomaly is that the fourth quarter had a 1.4% constant currency growth quarter-over-quarter. I would say it's probably another 100 basis point higher than that due to some anomalies around some tax assessment or refunds I should say that we received in the prior year, which makes for a tough comp. And we did receive some impact from that PBB lease we took back and obviously are re-leasing right now. So it's probably 100 basis points higher than the 1.4% on a constant currency basis. On a full year basis, I think, we're towards the higher end of our initial guidance at 2.7% as reported and 3.6% constant currency, so fairly happy with that. I would say it was a smaller pull this year because we tried to be intellectually honest with how we treated Telx in that analysis. Moving to 2017, I'd say the biggest impact will be including the Telx contribution, will be the pooling that's a lot more meaningful and the larger component of our company. So it will give you a better read through as to same capital look for all more of digital than it did during 2016.
Operator: And the next question will be from Frank Louthan of Raymond James. Please go ahead.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Great. Thank you. When you look out at the various markets that – where you're operating, are you seeing any sort of rational behavior either in pricing or market entry? What is that looking like? And then, now what areas can we expect you to emphasize going forward, both sort of inorganic and an organic growth? You have various types of assets. What should we expect you to put most of the emphasis on going forward?
William Stein - Digital Realty Trust, Inc.: Hey, Frank. On the market question, I mean, first of all, New Jersey continues to be our weakest market. I wouldn't say that there is irrational pricing there. There just is weak demand. I think where you find potentially irrational pricing is when there is a significantly sized deal, a very large deal that you'll find people that – who price very competitively for those. What was your second question?
Scott Peterson - Digital Realty Trust, Inc.: The areas to emphasize organic and inorganic growth. And I think – Frank, I think I touched on a little bit too is, we're still focused on opportunities that are strategic to our business and also represent a good investment value for our shareholders and not focus on things that are just going to make as bigger. So, good examples of those are some of the opportunities out there have been just a collection of assets. And they've been very fully priced. And, frankly, I'm kind of surprised that how full the pricing has been in the market given the supply of assets that have been up there for sale. And I think that's a testimony to the strong investor appetite for our data center assets. But we do try to focus on the more strategic ones. Anything that's just a collection of assets of two, three, four, just pure data center assets that are fully priced relative to our cost of capital aren't particularly attractive because all it does is let us get bigger and it increases the denominator and dilutes our future growth. So, we don't find those particularly exciting because we can develop those on our own. So, again, we will focus on opportunities that we believe are strategic and we can generate some synergies out of and also are attractively priced relative to our cost of capital and represent an accretive transaction as well as something that we can prudently finance. So, we're going to stick to our discipline going forward as we have in the past. And I hope it continues to play out for us the way it always has.
Frank Garreth Louthan - Raymond James & Associates, Inc.: All right. Great. Thank you very much.
Operator: The next question will be from Jon Petersen of Jefferies. Please go ahead.
Jonathan M. Petersen - Jefferies LLC: Great. Thank you. Yeah. I just kind of have one question. Looking at the re-leasing spreads on your Turn-Key Flex portfolio, still positive, they were good this quarter. I'm curious what year those leases were initially signed and one thing that I want to get at is, I know about four years ago 2013 was when rents really took a dip and I'm wondering when we're going to start to renew those leases and if we should expect re-leasing – when we should start to expect to re-leasing spread kind of ramp up as those rents what I presume are below where current market was – were leased and when they renew?
Andrew Power - Digital Realty Trust, Inc.: Hey, Jon, this is Andy. So, I don't have a pinpoint on the actual year for those leases. I would say they both probably go back call it 5 to 10 years. I don't think – I mean, as you look through our Turn-Key, which is predominantly larger footprint, longer-term leases, they almost all have some type of annual escalation of call it 2%, 2.5%, 3% over that duration, be it 7 or 10 years. So they've been increasing for many years now. We have not gone to a point where we've had massive spiky uplifts upon the cash mark-to-markets. I think that's a product of being on the scale customer, they're bigger deals, they've had escalations for a longer time period and I don't think we've gotten to the expiration or the extension time for really trough rates yet at least.
Jonathan M. Petersen - Jefferies LLC: Do you have any sense about – you're saying – so essentially I should take 2013, add 5 to 10 years, so we're still two or three years away from really seeing that, those rents roll.
Andrew Power - Digital Realty Trust, Inc.: It feels like it, but I would say that the payments are little bit – the customers will very often come, they want to come and do a long-term extension well before their actual contractual extension. So there is potential for customers to come early to do renewals, but it does feel like what you're looking for maybe a couple of more years out there.
Operator: The next question will be from Matthew Heinz of Stifel. Please go ahead.
Matthew Heinz - Stifel, Nicolaus & Co., Inc.: Thanks. Good afternoon. Just revisiting the revenue guidance. I guess there is a, about a 5% delta there in the range, about a $100 million. I'm just curious what would you say the key variables are in terms of execution or may be just the market environment that – to get you to the high end of the revenue guide this year?
Andrew Power - Digital Realty Trust, Inc.: Sure, Matt. I would – I mean, I would say the key variables on that range are one of execution rate and it's probably more on the scale side execution and then the colocation interconnection side in our – performance just given the mix of our business, and the stacks of the size of the deals on the scale side, can be – tend to be a lot larger and bigger impactors. And the other thing, I would say, FX, I believe, could have another impact there. And going back several years, you probably wouldn't have heard us talk about this much, but we're living in an environment where the pounds drop from a $1.45 to $1.20, and we have a large piece of our business in the UK, that obviously has a – can create a large headwind to our top line growth. Now, as I mentioned, we hedged that having, new – to couple sterling bond offerings north of $1 billion dollars, there's multi-currency revolver and term loan so that headwind doesn't 100% flow through to our bottom line, but it would – can put some variability into the top line growth.
Matthew Heinz - Stifel, Nicolaus & Co., Inc.: Okay. Thanks for that. And then one follow-up on the development pipeline. It looks like you had a couple of fully leased projects slip out of there, but pretty good increase on a sequential basis, and I think it's higher here than I've seen in quite a while. I guess – what's your sort of line of sight into having that pool substantially leased up by the time those assets are released into the stabilized pool?
Andrew Power - Digital Realty Trust, Inc.: Sure. So, the deliveries you mentioned – sorry, go ahead, Matt.
Matthew Heinz - Stifel, Nicolaus & Co., Inc.: I guess by the time they're delivered?
Andrew Power - Digital Realty Trust, Inc.: So, the deliveries you mentioned that came out of the pool on the scale side I believe were 88% leased. So, they're almost 90% leased by the time we actually finished the construction of the building. We have a slide in the deck that kind of highlights our three North America core active development markets that did 10 to 15 megawatts per month in the last 12 months of deliveries and those are all kind of 88 to 94 or so percent leased upon the time we opened up. You are correct, the active development pipeline has increased a fair bit. I think it's a roughly $250-ish million versus the prior quarter in terms of total projects. That includes some of those – I mean obviously we've been increasing with our global footprint expanding in Europe and Asia. Some colo projects which are a little smaller dollars have been added to the list. Those typically obviously did not have much preleasing before they open up. I think we feel pretty confident on bringing those on in time at attractive cost to us and be able to lease a significant share up by the time we open the doors. Many of those projects actually are like the last buildings on some of our major campuses, be it the K building or H building down in Ashburn before we move on to the next parcel of land; or the 9377 building in Chicago. So, we're kind of rounding out some of our large campuses and now having to move to the next door property for our next phase of growth. And in that case, that's often customers that have already been in our building, wanting to really stack up that last piece of inventory so that their engineers don't even have to cross the road even though it's a short distance. So, I think we feel pretty good about that. At the same time, if you would stop all the – stop the music and everyone has to find a chair, I think our committed spend on that pipeline, meaning the spend we have to spend or would be in default on is about $190 million. So, it's 0.2, 3.3 turns of EBITDA and we can easily address it with our revolver that's got $200 million outstanding.
Operator: And the next question will be from Jordan Sadler of KeyBanc Capital Markets. Please go ahead.
Jordan Sadler - KeyBanc Capital Markets, Inc.: Thanks for taking the follow-up. Curious regarding the scale funnel, it sounds like the deals are bigger you said. So, should we expect, is it safe to assume more scale deals from DLR in 2017 versus 2016?
William Stein - Digital Realty Trust, Inc.: I certainly hope so. I mean – kidding aside, I mean we wouldn't increase the active development pipeline by that size and we won't be moving on to build at the adjacent campuses if we didn't have conviction on the pipeline. Now, they're not a done deal, obviously there's only a certain amount that's pre-leased today and we're only a month-and-a-half into the year, but that's certainly the goal. I don't know if Dan you want to add anything to that?
Daniel W. Papes - Digital Realty Trust, Inc.: Yeah. The only thing I would add is we do see a strong pipeline in the CSP and hyperscale space and it's not just domestic. I think it's important to point out that our global footprint is very appealing to the hyperscale customers. And as we expand our footprint in Asia and in Europe, we're seeing good strong demand for those sites as well.
William Stein - Digital Realty Trust, Inc.: And Jordan, some of the changes we're making on the sales team, we expect will allow us to gain deeper penetration into the customer and thus will unearth additional opportunities with these major players.
Jordan Sadler - KeyBanc Capital Markets, Inc.: Okay. That's helpful. And then, I guess, a little bit of a follow-up for maybe Scott or Andy, you could tag team. This is sort of strategically year-over-year plus into the – even more so now into the Telx acquisition and integration and living with it. And so I'm kind of curious on your view of colo and interconnection relative to scale and basically where you see the best risk-adjusted returns for your money?
Andrew Power - Digital Realty Trust, Inc.: You want me to start or you want to go?
Scott Peterson - Digital Realty Trust, Inc.: Go ahead, I'll hang on.
Andrew Power - Digital Realty Trust, Inc.: So maybe I'll just touch on Telx holistically and kind of a year-end checkup kind of thing and then I'll let Scott talk to kind of risk adjusted returns, whether – from an investment kind of hat. I mean, obviously, Jordan, or maybe not obviously, I think we're pretty proud of what I call successful acquisition financing and more – most of the integration. I mean, we've navigated a substantial re-org that generates significant expense synergies. We either met or exceeded our underwriting targets, we've unified the team under one Digital Realty brand and we also leveraged some new found expertise and adopted market-leading customer portal. And then, on the new future, I think, we're generating revenue synergies with the footprint expansion to markets like Ashburn, Richardson and also just growing the footprint some of our gateways be it Chicago or LA or Phoenix. So, all-in-all I think we're on track. And I think it's been a fruitful, I mean, a good overall experience. And I think we're building momentum that's going to bear fruit into 2017 and beyond.
Scott Peterson - Digital Realty Trust, Inc.: And Jordon on the risk reward spectrum of it, it's really – it's kind of interesting. So, the way I look at it, it's a little bit of a toss-up. You could generate better operating margins on the colo side, be it shorter contract terms, you have smaller customers, typically more diversified customer bases. But then, you also have limits of how big it can be, and we can take some of these markets. Northern Virginia is a great example, 2 megawatts of leasing and – of colo in Northern Virginia is a big year for any company. And 2 megawatts is kind of the first week of January for scale. So, it's a tough call. I think really at the end of the day, what our view on this is, is you want to have both. We want to have a full spectrum platform to offer space and power and connectivity to a customer, whether you want a cabinet or you want a 100 megawatts. And we want to do that on a global scale, because what we see the customers wanting from us right now is they have – they have a lot of different needs over a lot of different markets, and a lot of different types and needs. So, they might need a colo deployment in one market, they might need scale in one, hyperscale in another. And they want to be able to come to a single vendor for that to partner with and provide them with some consistency of delivery across the globe. And we know, we're the only ones right now that are even close to be able to do that on a global scale. And we think we're seeing a good chance to being the only ones. And so, it's kind of hard to really separate, I mean because they are both very important.
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. I would like to hand the conference back over to Bill Stein for his closing remarks.
William Stein - Digital Realty Trust, Inc.: Thanks, Denise. I'd like to wrap up our call today by recapping our highlights for 2016, as outlined here on the last page. We had another very good year characterized by solid execution against our strategic plan. We met or exceeded our Telx underwriting targets and we continue to extend our global footprint with the closing of the European portfolio acquisition. We continue to enhance our product offerings with the launch of Service Exchange, the expansion of our Partners and Alliances program and the expansion of our global footprint to 11 new facilities across eight new and existing markets. We raised guidance three times over the course of the year delivering core FFO per share growth above the high-end of our original guidance range, and we delivered outsized growth in AFFO per share. Finally, we achieved this growth while strengthening our balance sheet. We paid down virtually all of our remaining secured debt. We reduced our floating rate debt exposure by more than half, and we lowered leverage by nearly half a turn. Last, but certainly not least, I'd like to say congratulations and thank you to the entire Digital Realty team whose hard work and dedication is directly responsible for this consistent execution against our strategic plan. Thank you all for joining us and we look forward to seeing many of you in Florida in early March.
Operator: Thank you, Mr. Stein. Ladies and gentlemen, the conference has now concluded. Thank you for attending today's presentation. You may now disconnect.